Operator: Ladies and gentlemen, thank you for standing by and welcome to the UGI Corporation fiscal year 2019 earnings call and webcast. At this time, all participants are in a listen only mode and after the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to speaker today, Alanna Zahora, Manager of Investor Relations. Please go ahead, ma'am.
Alanna Zahora: Thanks James. Good morning everyone and thank you for joining us. With me today are Ted Jastrzebski, CFO of UGI Corporation, Roger Perreault, Executive Vice President of Global LPG and John Walsh, President and CEO of UGI. Before we begin, let me remind you that our comments today include certain forward-looking statements, which management believes to be reasonable as of today's date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict. Please read our earnings release and our annual report on Form 10-K for an extensive list of factors that could affect results. We assume no duty to update or revise forward-looking statements to reflect events or circumstances that are different from expectations. We will also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available in the appendix of our presentation. Now let me turn the call over to John.
John Walsh: Thanks Alanna. Good morning and welcome to our call. I hope you have all had a chance to review our press releases reporting UGI's full year results. I will comment briefly on major achievements over the course of fiscal 2019 and then I will turn it over to Ted who will provide more detail on UGI's financial performance. Roger Perreault, our Executive VP of Global LPG will provide an overview of the significant efficiency initiatives underway at AmeriGas and UGI International. I will then conclude by reviewing our fiscal 2020 guidance and progress on our strategic projects. We reported full year fiscal 2019 GAAP EPS of $1.41, while our adjusted EPS was $2.28. Our adjusted EPS was roughly 17% below our fiscal 2018 record adjusted EPS of $2.74, but includes dilution and a fourth quarter seasonal loss associated with our recent acquisitions. Excluding the acquisition impact, our business delivered $2.36 EPS and this represents the second highest adjusted EPS in UGI's history. Both years have been adjusted for the mark-to-market valuation of unsettled hedges and costs associated with the strategic efficiency programs at AmeriGas and UGI International, Ted and Roger will provide more detail on this later in the call. The results delivered in fiscal 2019 were impacted by a number of factors with the most significant being very warm weather in Europe and the dampening of pipeline capacity values over the course of the winter. Our teams responded well to these significant challenges and we delivered a solid year in the face of those key factors. Our fiscal 2020 guidance range of $2.60 to $2.90 assumes a return to normal weather across our service territories and some incremental improvement in pipeline capacity values. Ted and I will provide further details on our guidance later in the call. We were extremely pleased with the progress made in fiscal 2019 on our primary strategic initiatives. The fourth quarter was particularly noteworthy as we closed two of the most significant transactions in UGI's history. The AmeriGas transaction concluded on August 21 with approximately 93% of the votes cast in favor of the transaction. We are very pleased to start fiscal 2020 with AmeriGas as a wholly-owned UGI entity. We will use the enhanced cash flow from AmeriGas to pay down some of its debt and to help on the major capital investments in our natural gas businesses over the next decade. The simplified structure will help drive operational efficiencies across our LPG businesses, which we see as a major opportunity to deliver enhanced performance over the next few years, Roger will be commenting on this program later in the call. Our acquisition of the Columbia Midstream Group from TC Energy also closed on August. The five Columbia asset networks we acquired have significantly expanded the breadth and scale of our midstream activities in the Marcellus. We saw strong throughput across these network in August through October and we are confident that we will be executing a range of expansion projects on those five systems over the next three to five years. In addition to the AmeriGas and Columbia transactions, we continued to focus on executing critical elements of our long-term strategy that will provide the foundation for growth over the next decade. Our Auburn IV expansion project, which increases capacity on the Auburn system by 150,000 dekatherms a day or about 30% was completed in November, on time and on budget. This $50 million investment on our largest Northeast Marcellus system is supported by a 10-year take-or-pay contract. As other Northeast takeaway options from the Marcellus are delayed, we see increasing demand for pipeline capacity on our existing systems. Our utilities team had an extremely productive year. We filed our first combined gas utilities rate case and successfully concluded the case with an improved settlement that provided a $30 million rate increase that went into effect in October. Our utilities team deployed a record $355 million of capital in fiscal 2019, as we added new customers, replaced gas distribution infrastructure and upgraded our critical systems. The outlook for continued capital investment across our utilities remains strong. AmeriGas continues to have great success with its ACE and National Accounts programs. In both cases, AmeriGas distinguishes itself by providing exceptional service levels to these key customer groups. Fiscal 2019 was another year of strong growth with ACE volumes up 8% and National Accounts volumes up about 6%. We continue to add new accounts in both programs based on our national coverage, 24/7 support and delivery of value-added technologies such as our second generation bending solution for our largest cylinder exchange customers. Our international team performed well despite persistent warm and dry weather. The team integrated four LPG tuck-in acquisitions in Belgium, the Netherlands and the United Kingdom. Early in fiscal 2019, the international business refinanced their entire debt portfolio and issued senior notes for the first time. Roger will comment on some exciting new initiatives underway at the international business in a few moments. While fiscal 2019 was an exceptionally dynamic year for us, we also maintained our commitment to excel in the most critical activities we undertake, safety, customer service and operational efficiency. I will return to comment on our fiscal 2020 outlook and our strategic initiatives, but I would like to turn it over to Ted at this point for the financial review. Ted?
Ted Jastrzebski: Thanks John. As John mentioned, our fiscal 2019 acquisition adjusted earnings per share of $2.36 was the second highest in UGI's history. The difference between our reported adjusted EPS of $2.28 and the $2.36 figure that you have heard us refer to, the $0.08 delta, can be broken down into two parts, the seasonal loss from the AmeriGas operations related to the timing of the transaction and the dilution impact. First, there was a $0.03 impact related to AmeriGas' operations and incremental interest from financing this deal. This came in below our 40.05 forecast. The remaining $0.05 are attributable to dilution. Our reportable segment EBIT was $978 million this year, compared to $1.08 billion last year, largely as a result of the AmeriGas merger and CMG acquisitions. And for consistency across the businesses, UGI is shifting our profitability reporting metrics to EBIT. You will see this change reflected in our future reporting. This table lays out our GAAP and adjusted earnings per share for fiscal 2019 compared to fiscal 2018. As you can see, our adjusted earnings exclude a number of items such as the impact of mark-to-market changes in commodity hedging instruments, a loss of $0.82 this year versus a gain of $0.39 last year. In fiscal 2019, we had $0.13 of unrealized gains on our foreign currency derivative instruments versus a gain of $0.11 last year. Lastly, you will see transformation costs at our LPG businesses that we will discuss in detail later on the call. Using acquisition adjusted earnings as a base, adjusted earnings per share decreased $0.38 versus last year. Our domestic businesses experienced relatively normal weather, but our international business has faced a warm and dry weather conditions dating back to the summer of 2018. The largest year-over-year decrease occurred at our midstream and marketing business where the lack of sustained cold weather and increased pipeline restrictions impacted our capacity management business. Moving forward, we expect the return of some pipeline capacity volatility in our recently expanded service territory, but at levels below those experienced over the past few years. To give you an idea of magnitude, during fiscal 2016 through fiscal 2018, the capacity management business delivered roughly $50 million per year in margin. We are expecting roughly a quarter of that margin moving forward. Turning first to the LPG side of the business. AmeriGas reported adjusted EBITDA of $580 million versus $606 million in fiscal 2018 or EBIT of $404 million compared to $422 million last year. As we previously disclosed, this result was driven largely by lower than anticipated base volumes, unfavorable regional weather patterns during the second quarter of the year and approximately $15 million of unusual expenses related to accruals for litigation and an adjustment to lease expenses associated with prior years recorded during Q3. The enhanced leadership structure we put in place last fall for our LPG businesses along with the 120-day strategic review that resulted in the buy-in of AmeriGas also led to an additional focus on technology to help us drive efficiency and enhanced customer service in our LPG businesses. Roger will speak to this in more detail in a few moments but with the buy-in behind us, we are in a position to make a series of investments at AmeriGas that will provide consistent and sustained cost savings and operating efficiencies. We expect these investments to enable improved customer retention and growth through significant enhancements in AmeriGas' customer-facing capabilities. These actions will return AmeriGas to a more consistent EBITDA growth trajectory. The full impact of this program will provide a permanent benefit by the end of fiscal 2022 when we expect AmeriGas EBITDA to grow to the range of $630 million to $650 million. We will keep you updated on specifics in coming quarters, but you will see non-GAAP adjustments called LPG business transformation costs as we invest to transform the business in fiscal year 2020 and fiscal year 2021. We are excited about the opportunity to invest in AmeriGas, implement these projects, enhance our business, provide best-in-class customer service and increase both earnings and cash flow, which is very important to us as AmeriGas is a major contributor to the UGI cash flow engine we often talk to you about. UGI international achieved EBIT of $234 million compared to $240 million in fiscal 2018. As mentioned throughout our earnings call in fiscal 2019, the international business experienced persistent warm and dry weather that impacted our crop-drying business in the fall and the bulk business throughout the winter. The team remains focused on profitability in this challenging year and did a great job of managing margins and operating expenses. I should point out that the line items on this slide includes sizable impacts related to the translation effects of a weaker Euro and Pound Sterling. We hedge our FX exposure to minimize this impact, which is reflected in other income. Earlier in the year, the international team refinanced their entire debt portfolio, including the issuance of €350 million of senior notes for the first time at the highly favorable interest rate of 3.25%. Lastly like AmeriGas, the international team has also been focused on operational efficiencies. After the successful integration of the Finagaz acquisition, the team started the process of centralizing certain functions and incorporating new technology to ensure greater customer service and profitability. Roger will comment more on this in a moment. Turning to the natural gas side of the house. Midstream and marketing reported EBIT of $114 million, a decrease of $65 million compared to 2018. Total margin decreased $56 million versus 2018, due to lower margin from midstream assets and lower total commodity margin. The bulk of the decrease in total margin versus last year was attributable to the unfavorable impact of lower capacity values and pipeline restrictions on capacity management margin. We saw a year-over-year increase of $6.7 million in operating expenses due to new natural gas gathering assets coming online in fiscal 2019 and incremental expenses associated with the CMG acquisition. Depreciation and amortization expenses increased $7.9 million due to incremental depreciation from the expansion of our natural gas gathering assets including CMG as well as our peaking and LNG assets. Additionally, we saw incremental equity income from a joint venture on the newly acquired Pennant system which was part of the CMG acquisition. Lastly, we are pleased by the early results from the CMG assets. As John mentioned, we are seeing strong throughput on the system and are confident that we can execute on the expansion projects at attractive CapEx multiples of five to seven times. UGI utilities reported EBIT of $226 million for 2019, a $12 million decrease over last year. Core market throughput was flat to prior year on weather that was 3% warmer. Some of this impact was offset by customer additions and higher use per customer. Margin was down slightly compared to prior year. However, excluding the effects of the TCJA in both periods, margin increased $8 million versus fiscal 2018. OpEx was up $2.1 million as a result of higher contractor costs, IT maintenance and consulting expenses. Depreciation and amortization increased $8.2 million due to increased distribution system and IT capital expenditures. Our utilities team continues to execute on our robust capital plan and we expect to invest approximately $1.8 billion in the rate base over the next four years. Additionally, the new rates associated with the $30 million rate increase in our first combined rate case went into effect in October. I would like to thank our teams for all of their hard work and execution in 2019. As John mentioned, our fiscal year 2020 guidance range is $2.60 to $2.90. This assumes normal weather in our service territories. In 2020, we will see the impact from the rate case at utilities and a more modest impact from cost-saving and efficiency measures at our LPG businesses and incremental margin from the CMG acquisition. However, we will really start to see significant impacts from these investments, particularly the cost-saving and operational efficiencies at our LPG businesses and the second-order investments between $300 million and $500 million at CMG in fiscal 2021 and beyond. I also wanted to take a moment to talk about how the AmeriGas merger transaction will impact our quarterly earnings in fiscal 2020 and beyond. Due to the seasonality of the LPG businesses, they generate over 100% of their expected earnings during the heating season and have negative quarters in the summer months, the timing of our quarterly results will be impacted. As you can see in this chart, historically 95% of UGI's adjusted EPS was earned in the first half of the year and the remaining 5% came in the second half. With AmeriGas fully integrated, that ratio will change. We now expect to generate roughly 110% of our yearly expected adjusted EPS in the first half of the year and slowly drift down towards 100% in the summer months. As we have mentioned in previous presentations, we will be allocating a larger portion of our CapEx to the natural gas businesses in the coming years. This will slowly reverse the impact laid out on this slide. I should point out that earnings from the CMG assets are included in these integrated figures and moderate a portion of this impact. CMG generates earnings much more evenly throughout the year. 2019 was a busy year for UGI, a year that included taking out long-term debt at energy services and that the HoldCo level for the first time. We mentioned on the AmeriGas merger call that we expect to use a portion of the enhanced cash profile, roughly $100 million per year, to lower their leverage to the range of four times to 4.25 times. As you know, we took on debt to fund a portion of both the AmeriGas and CMG acquisitions. We have always made prudent use of leverage and financing investments like these transactions. We are confident in the strategic benefits that will result from these transactions and we are pleased that our improved cash generation profile provides us with the flexibility to reduce leverage over time, while remaining in good position to consider strategic investments as opportunities arise. UGI remains well positioned to build on our foundation and meet our commitments to shareholders. With that, I will turn the call over to Roger for a review of some of our initiatives at AmeriGas and UGI International. Roger?
Roger Perreault: Thanks Ted. Driving operational efficiencies across our LPG businesses is an important component of our global LPG strategy for the next few years. As Ted mentioned, we are implementing strategic and sustainable measures that will increase profitability and deliver a better customer experience. Some of these measures are already underway at our international business and the AmeriGas transaction will enable us to redeploy some of the cash generated into several key investment opportunities that will generate substantial savings and efficiencies. Let's start with AmeriGas. We have identified over $120 million of permanent operational efficiencies that will be delivered through accelerated investment in customer digital experience, customer relationship management, operations process redesign and specialization, distribution and routing automation, sales effectiveness, procurement and G&A and lastly, supply and logistics. You have heard us talk about some of these enhancements like distribution efficiencies in the past. These initiatives, which will be fully implemented over the next 24 months significantly accelerate the pace and scale of the technology investments we have been deploying over the past several years. We expect the run rate benefits of these investments to be completely realized by the end of fiscal 2022. We will spend approximately $175 million in capital and transition cost in fiscal year 2020 and fiscal year 2021, of which approximately 55% to 60% will be attributable to CapEx. We expect to see modest P&L benefits in the fiscal year 2020, roughly $30 million and then begin to see more significant benefits build in fiscal year 2021 and onward. We are earmarking a portion of the benefits achieved from these initiatives to be reinvested in the business to take proactive approach to customer retention and growth, including reducing certain base business unit margins as a result of our lower cost structure. We are confident that these investments will position AmeriGas to be the best-in-class propane distribution company in terms of efficient and safe operations, competitiveness and customer focus. Similar initiatives are underway at our international business as we have started to centralized back-office functions at UGI International. After the successful integration of the Finagaz acquisition, we have on a process of identifying synergies across all 17 countries in which we operate across Europe, with the goal of centralizing certain enabling functions and directing our operating teams to focus their attention on customer service and safe operations through the establishment of two centers of excellence. One will be focused on commercial excellence to identify and execute projects to continuously improve our customer experience. And the other will be focused on operational excellence across our distribution network and filling plants. This effort will generate over €30 million or roughly $33 million of permanent annual savings. We expect to see more than €5 million of the €30 million benefit this year and the full benefit will be realized by the end of fiscal 2022. The cost to implement is roughly €55 million of which approximately 35% to 40% will be attributable to CapEx. The majority of the federal occur over the next 24 months. These critical efficiency-focused initiatives have been centrally led under our Global LPG structure that we announced in September 2018. This will also provide a more effective platform for the best practice sharing and implementation across our domestic and international LPG businesses. We are confident that with these important transformational initiatives at AmeriGas and UGI International, we will position our Global LPG companies to be leaders at serving our customers with digital tools to provide a superior customer experience. We will drive efficiencies and cost control to enable continued solid margins and cost competitiveness in the markets in which we operate. These efforts will contribute to reducing volatility based on weather for the coming years. We will also better position both our North American and European businesses for continued growth by acquisitions and execution of identified synergies. Now I will turn it over to John for the closing statements.
John Walsh: Thanks Roger. Our guidance for fiscal 2020 of $2.60 to $2.90 assumes normal weather and the return of some pipeline capacity volatility in our service territories. As was the case in fiscal 2019, we are using 15 year normal weather as the basis for our guidance. The midpoint of our fiscal 2020 guidance represents a 17% increase in EPS over our acquisition adjusted fiscal 2019 performance of $2.36. Following the solid fiscal year 2019 performance in a challenging environment and bolstered by the two key transactions in the last quarter, we enter the new fiscal year in a very strong position. The AmeriGas and Columbia transactions provide a strong foundation for accelerated cash generation and earnings growth over the next three to five years. Consistent with when we announced each transaction, we expect AmeriGas to be accretive in fiscal 2020 and CMG to be basically neutral. Together, we expect the transactions to deliver roughly $0.05 of accretion this year, the majority of that coming from the AmeriGas merger, but both acquisitions will be highly cash positive. As we move into fiscal 2021 and beyond, we expect continuing strong cash flows along with positive EPS contributions that become quite meaningful over time. As Roger right just described, we are excited about the opportunity to significantly improve the efficiency of our LPG distribution businesses, both in the U.S. and Europe. We are confident that the work underway will position AmeriGas and UGI International for very strong long term performance. The investment in transition expenses for restructuring and capital for deployment of new technologies will result in a significant reduction in our ongoing operating expenses and enhance customer service and support. We will keep you apprised of our progress over the course of the year. As Roger noted, we will see modest contribution to earnings from these programs in fiscal 2020, a more significant benefit in fiscal 2021 and we will deliver full ongoing benefits for both AmeriGas and UGI International in fiscal 2022 and beyond. As we look across our natural gas businesses. UGI is particularly well-positioned to thrive in today's dynamic environment. All sector participants are impacted by changing commodity values, ramping natural gas demand and production, local challenges related to executing infrastructure projects and uncertainty with regard to federal, regional and state energy policies and legislation. Our diversified set of energy distribution businesses will provide us with an attractive range of investment opportunities as these various factors play out over the next decade. One specific example of the benefits of diversification is in our midstream business. Over the past two to three years, the industry has seen major changes in the timeframe for placement of new natural gas infrastructure with multiple projects deferred or postponed. This has been particularly true in the mid-Atlantic and Northeast regions. One of the many projects impacted is PennEast. Despite recent challenges, the partner companies remain fully committed to the project and the affordable, reliable service it will bring residents and businesses in Pennsylvania and New Jersey. The deferral or cancellation of infrastructure projects that would have delivered incremental new capacity to the Easter mid-Atlantic and or Northeast presents challenges for LDCs and other natgas distributors who are experiencing consistent demand growth. This change in our operating environment has created a range of new opportunities for UGI that we wouldn't have foreseen three or four years ago. These include our $50 million Auburn IV expansion project that I referenced earlier. This project was specifically enabled by the lack of alternative takeaway options in Northeast Pennsylvania as other projects were deferred or canceled. The continued buildout of our LNG network with the most recent example being our LNG storage and vaporization facility under construction in Bethlehem, Pennsylvania. Our LNG network is proving to be vital to filling the gap between available pipeline capacity and peak day natural gas demand. We see the value of this network increasing due to the constraints around addition of new pipeline capacity. The high level of interest in expansion projects on several of the newly acquired Columbia systems. These systems are well-positioned to efficiently add incremental capacity within a manageable timeframe. This is particularly appealing to producers attempting to address some of the current uncertainties related to market access. As these projects demonstrate, UGI is very well-positioned to perform in the current market environment. In addition to those examples, we can also point to a significant portfolio of capital investment opportunities with a high degree of certainty in terms of both scale and timing of the capital spend. Our team at utilities continues to see strong natural gas demand across its entire service territory and this demand intensity is reflected in our outlook for capital spending. Following our record CapEx investment of $355 million in fiscal 2019, we expect total CapEx investment at utilities over the next four years to exceed $1.8 billion. Our team at utilities has done an exceptional job of achieving this step change in project execution while maintaining a strong focus on safety, very high levels of customer service and maintaining affordable rates for our customers. AmeriGas expects to deploy significant capital in its cylinder exchange business, ACE, to support underlying growth and strong customer pull for its second generation bending solution. We are the clear innovation leader delivering a technology solution preferred by our regional partners and that appeals to our customers. Our midstream team remains very active on new gathering projects in the Eastern Marcellus. We are executing a range of projects related to the Texas Creek and Marshlands investments we made over the past two years. We expect to invest approximately $50 million in the Eastern Marcellus in fiscal 2020 with very attractive returns. We have entered the new fiscal year in a strong position with a broader portfolio of new investment opportunities and enhanced cash flows following the AmeriGas and Columbia Midstream transaction. We are in excellent position to execute our growth strategy and expect our free cash flow and earnings over the next three to five years to benefit from the LPG efficiency programs that Roger described earlier and the range of growth projects currently in execution or under development. Let's take a look at how this translates into business growth over the next few years. We created this slide for our Investor Day back in December. As you can see from fiscal 2020 to 2023, we expect that both our LPG and our natural gas businesses will grow at or above the high end of our stated 6% to 10% earnings target. LPG has a CAGR of approximately 10% to 12%, while the natural gas side of the house has a CAGR of approximately 11% to 13% through fiscal 2023. We expect steady growth over the next few years as projects and initiatives contribute consistently to earnings across the budget and plan period. In addition to funding our growth projects, we also remain very committed to growing our dividend. With two dividend increases in fiscal 2019, our CAGR for dividend growth over the past decade is 9.4%. 2019 was also a milestone year for us as UGI has now paid a dividend for 135 consecutive years. We obviously take this commitment seriously. I can say with confidence that we are in an outstanding position to deliver on our commitments for future earnings growth. We are looking forward to keeping you updated on our progress throughout the year. With that I will turn the call back over to James who will open it up for your questions. James?
Operator: [Operator Instructions]. Your first question comes from the line of Chris Sighinolfi from Jefferies. Go ahead, please. Your line is open.
Chris Sighinolfi: Hi. Good morning John.
John Walsh: Good morning.
Chris Sighinolfi: I just want to start with your guidance, if I could. I appreciate the information contained in the slides and Roger's explanation of some of the efficiency-focused investments you are making. I see $175 million at APU and €55 million internationally over a couple of years. Roger offered your breakdown as the delta or the breakdown between CapEx and OpEx treatment there. I am just curious, you have noted that you are going to exclude these costs from your adjusted numbers or exclude it from your guidance. I am wondering just if you could quantify how much is excluded from fiscal 2020, just so we can calibrate that?
Roger Perreault: Yes. Chris, this is Roger talking. So the way I would think about it is, the OpEx numbers are the ones that would be adjusted in fiscal 2020. So we are expecting the rollout of these efficiency plans to be really this year and up to 2022, so over the course of two years. And if you just break that out and look at the OpEx number, that's what I would adjust out.
Chris Sighinolfi: And would you just break the numbers roughly in half, Roger? Or do you front-end weight those in anyway?
Roger Perreault: Yes. I would be pretty close to half and half, a little bit front-end loaded, I would say this year.
Chris Sighinolfi: Okay. And then I guess the logic around excluding them, like I understand when you guys have acquired businesses and we have had some sort of transitional costs, so we have had some labor workouts like we saw with Finagaz. Those are costs that came with a specific action, I guess, the idea around adjusting out investment costs here. Can you just walk me through that?
John Walsh: Yes. Chris, this is John. I think the logic is this is a major sort of transformation program that we think is fundamental to sort of long term strong performance for AmeriGas and UGI International. And we wanted to make sure for investors and others that it was clear kind of what we were investing and also what the deliverables were. And the fact that these are, particularly the operating expenses associated with this are one-time non-recurring charges. So we wanted to make sure we had clarity around the underlying performance of the business rather than have that mixed with one-time cost associated with reducing our cost base. So that's the logic and just the scale of it is significant and strategically important to the company.
Chris Sighinolfi: Okay. And John, you had noted, I think, in previous slide presentations, a plan to invest roughly $900 million in total CapEx across the business in fiscal 2020. I didn't see that number featured in today's presentation. You have mentioned some of the long range plans for the utilities and obviously we know these investments at the LPG business. But does that $900 million range still hold as a good expectation for the coming year?
John Walsh: The $900 million is a good estimate, rough estimate for the core business. The investment we make which will highlight in the restructuring or transformation programs would be in addition to that.
Chris Sighinolfi: Okay. So there are additional capital and then the Texas Creek and Marshlands, just some expansions you noted on slide 18? Was that already embedded in the $900? Or was that?
John Walsh: See, yes, that's embedded as ongoing. Those are just incremental investments in growth opportunities that was captured in that $900 million.
Ted Jastrzebski: As were of the investments we are going to be making in CMG over the next few years.
Chris Sighinolfi: Right. Okay. So really the only additional items are some of the investments in the efficiency programs that Roger outlined?
John Walsh: Right. Yes.
Chris Sighinolfi: Okay. And then a final question from me and then I will hop back in the queue, just to help calibrate with regard to the fourth fiscal quarter. Ted, I am just wondering how much AFUDC did you book on PennEast? And what do you expect for 2020, just given the challenges? And then for CMG, if you could give us sort of a rough breakdown of how much contributed in 4Q and what the profile looks like for fiscal 2020?
Ted Jastrzebski: Yes. So let me start with the CMG, while we find these numbers on the AFUDC.
Chris Sighinolfi: Sure.
Ted Jastrzebski: So CMG was roughly breakeven in Q4. What we saw in increased operational gains, very roughly $11 million, was offset with interest expenses in Q4. We expect it to be a little bit north of neutral in 2020, CMG, in terms of accretion to EPS.
Chris Sighinolfi: Okay. And is that a somewhat stable profile? I mean you mentioned it provides some stability to counterbalance the seasonality of the AmeriGas business. But is that something you see as a gradually positively sloping line? Or are there periods in the year where based on producer discussions you are expecting some sort of outsized movement?
Ted Jastrzebski: So it fairly closely mirrors kind of our premium AmeriGas buy-in line over the year. And it slightly levels it out. But I mean slightly, a couple of percentage points in kind of the high end of the year and a couple of percentage points on the low end. So it slightly moderates the impact we see as AmeriGas comes into the picture in terms of how the line changes quarter-to-quarter over the next year.
Roger Perreault: Good. And just one additional comment on CMG. What we have, we have got a solid underpinning of take-or-pay and minimum volume commitments equivalent to take-or-pay that covers roughly two-thirds or 70% of the margin. So the underlying margin is solid. What we also have, if you look across the five systems, we have a combination of available capacity on certain systems and we have other systems that are at or near capacity. So depending on what happens in the broader market and with commodity values and individual producer plans, we have the upside of potentially adding in incremental volumes during the year because we have some available capacity. And then on other systems where we have got acreage dedicated to us and we are at or near system capacity, we are very hopeful that we will have, as we noted, expansion projects to announce. So we have got a nice sort of foundation underwritten by a pretty broad range of contracts with a long tenure and then some upside as the market evolves.
John Walsh: And Chris on that, AFUDC, we will follow-up with you on that. Just want to make sure we have the exact correct numbers.
Chris Sighinolfi: Okay. That's great. Thanks for the time this mornings guys. I will hop back in the queue.
John Walsh: Okay. Thank you.
Operator: And there are no further questions at this time. I would like to turn the call back over to our presenters for some closing remarks.
John Walsh: Okay. Thanks very much for your time and attention this morning. We will keep you abreast as fiscal year 2020 moves on. Look forward to speaking with you as a group on the next call, but also speaking to many of you in the interim. Take care.
Operator: This concludes today's conference call. We thank you for your participation. You may now disconnect.